Operator: Good afternoon. I am Norah, today's conference call operator. Welcome to the Heidrick & Struggles 2021 Fourth Quarter and Fiscal Year End Conference call. Joining today's call is Company's President and CEO, Krishnan Rajagopalan and Chief Financial Officer, Mark Harris. The company has posted fourth quarter slides on the IR homepage of its website at heidrick.com. Management encourage you see to view the slides for additional context. Please note that in the materials presented today, management may refer to non-GAAP financial measures that we believe provide additional insight into underlying results. A reconciliation between GAAP and non-GAAP financial measures may be found in the earnings press release. Also in the remarks, management may be making forward-looking statements and they ask that you please refer to the Safe Harbor language contained in today's press release. Mr. Rajagopalan, I'll now turn the call over to you.
Krishnan Rajagopalan: Thank you, operator. Good afternoon, everyone. Today, we announced an important financial milestone for Heidrick & Struggles achieving more than $1 billion in net revenue in 2021. With dramatically higher profitability, and meaningfully exceeding consensus expectations, it is clear that with our strategy and the choices we've been making on our transformation journey, along with the benefit of some macro tailwinds, we are delivering exceptional results. Our intense strategic focus included aggressive expansion in 2021 as we number one gain market share, and geographic scope and executive search, with an industry leading 12-month productivity of a remarkable $2.4 million per consultant in 2021. Number two, grew the value add leadership advisory work of Heidrick Consulting. Number three saw significant revenue growth from our newest segment On-Demand Talent. And number four, made our first moves forward in developing an innovative tech enabled digital offering more to come on that later this year. All of this has us excited about Heidrick’s future growth and the opportunities for success. Our guidance for a record first quarter this year reinforces our confidence in our transformation in delivering for our shareholders. Today, I'll start with some highlights from our fourth quarter and year ended 2021. Then I'd like to share some perspectives on the high end differentiated On-Demand Talent business segment, which we entered into with the acquisition of BTG last April. Finally, before handing the call over to Mark, I'll close with some thoughts about how our three lines of business purposefully and powerfully reinforce each other, with each contributing to the growth and success of the others, thereby making the whole greater than its parts. Uniquely among our peers, Heidrick is the only firm that is focused on the top end and accelerating this kind of wider and perpetuating multiplier effect. On the macro fund, 2021 was a revolutionary year in terms of leadership and human capital. Around the world, the ways in which we lead our organizations, how we did our work, and the effective functioning of our office environments and cultures were forever changed and amplified by disruptions from COVID. Companies today not only face the war for talent, even at the top end were Heidrick plays, but they're also faced increasingly important new business imperatives, such as the well-being of their teams, first and foremost, diversity, a sense of fairness inclusion, sustainability and the primacy of the quality and scope of the human capital in their organizations, all in the midst of disruption to their business models. This massive disruption poses tremendous opportunity for Heidrick. For example, just a year or two ago, it would have been hard to imagine that a Heidrick work model would be successful for companies large and small, or that C-suite professionals could live in a city far from corporate headquarters, where that experienced executives would be needed on an on-demand basis for any number of interim, or project based assignments, such as an organization's IPO, or digital transformation. At Heidrick, we never forget our responsibility to serve and empower our clients to develop high performing leaders, teams and organizations. In executive search, Heidrick won and closed more searches in 2021 than at any other time in our history, putting up extraordinary results with net revenue 1.5x last year's figure. This is the result of a number of factors, including not only the perseverance, and the industry leading productivity of our professionals, but also the expansion of our global footprint, plus strong demand from our clients around the world. Here's some additional color. First, we saw a lot of change at the top of organizations in 2021due to different business conditions, changing leadership styles, and senior leadership turnover. This was true for placing CEOs as well as roles across the C-suite, including for example, CTO, CFO, and supply chain executives. Heidrick won an impressive number of assignments to fill these roles. Secondly, Heidrick’s corporate clients sought diverse talent. Last year, diverse placements tracked at 51% of our total placements in the US, and we expect this kind of trajectory to continue. At the board level, Heidrick’s placement of diverse directors was at 73% in the US. Third, the pace of business transformation continued to accelerate, new business models emerged. Digital transformations continued, and themes like sustainability and ESG gained more traction, driving the needs for top talent across the board. We expect this to continue. For Heidrick Consulting in 2021, we serve clients across many facets of their human capital journeys and key assignments reflected growing corporate needs in three primary areas. Number one, with the recognition that top talent is an imperative for success, we had strong demand from clients for Heidrick guidance on matters of leadership assessment and development, the shaping of future ready leaders and follow on support and organization design. Number two, culture assessment and culture shaping were critical as companies managed through Heidrick and return to work environments and begin to re-energize and realign their teams. Number three, DE&I clients look for help defining and aligning on diversity strategies, and embedding new ways of working that are equitable, and inclusive. Expanding our geographic footprint where we find opportunities also front and center at Heidrick. Last year in executive search, we expanded by acquisition in Finland, and Heidrick Consulting grew its international presence as well, specifically in Australia, Brazil, Canada, Germany, Singapore, in the UAE. Turning now to our third business segment On-Demand Talent, with the acquisition of BTG, Heidrick got on the map as a market leader in the growing On-Demand Talent space. As many companies stumbled with the integration of an acquired entity. But kudos to our Heidrick team for making the integration of BTG seamless and accretive from day one. Not only has our On-Demand Talent business exceeded our financial expectations on its own, but we anticipate its impact on the organization as a whole will build significant value over the long run. On our On-Demand Talent capabilities set Heidrick apart from others in the executive search business, and now allow us to play it to high end and C-suite portion of rapidly expanding independent freelance or gig revolution. Our On-Demand Talent business helps companies quickly find executive talent to fill unexpected gaps or lend expertise to our clients specific issues, transactions or transformations. Once our corporate clients recognize the power of our own on-demand offering, sourcing senior level talent for either interim, or project work, many keep coming back to us to fill more roles. Broadly in a recent survey 85% of corporate executives plan to increase their use of independent talent in the coming year. We expect that the talent shortages we are seeing in the market will continue and provide an additional impetus to consider on-demand solutions. The demographics of the available talent to fill these on-demand role is grown. While we play in the C-suite and executive space today, 41% of postgraduates in the US are freelancing, and remarkably, over 50% of the US workforce are projected to be freelancers by 2027. This big wave is dramatically changing the way in which companies work, with the availability of talent in the US independent work sector, increasing 34% to 51 million workers in total last year. It's a trend that is expected to continue. Heidrick alone among the large global executive search firms is positioned to ride the wave, with its On-Demand Talent capabilities firmly established. As we anticipated, the mutually reinforcing and complementary businesses we've combined uniquely at Heidrick, where one business segment can provide performance accelerators for another segment, are working well in creating lasting value. When we can drive interconnectivity, such as leads on talent, assessment on leaders, teams and cultures, in new digital solutions, our overall success is redoubled. For example, in 2021, 70% of our partners and principals at Heidrick Consulting, were involved in selling at least one search, reciprocally, approximately 45% of Heidrick Consulting revenue included search support. Additionally, about 30% of On-Demand Talent’s revenue came directly from the Heidrick organization through internal referrals. This expanding cycle of collaboration is an engine for Heidrick’s overall long-term performance, making each of our business segments stronger as a part of the whole than it could ever be as a standalone effort. That is why finding terrific adjacencies like our On-Demand Talent business, and the upcoming edition of innovative digital capabilities through our partnership with EIGHTFOLD.AI which we will be ready to talk about more fully later this year, learn so much to the greater success and greater value of the organization in its entirety, each business line is reinforcing and helping to drive the success of the other. We think this sets Heidrick meaningfully apart from others in our talent and human capital sector. Our diversification strategy is underway Heidrick & Struggles and we are seeing the results. We do expect executive search business still more than 80% of our total net revenues today to continue on a path of aggressive growth. At the same time our non-search business, Heidrick Consulting, On-Demand Talent, plus other adjacencies still to come is likely to grow even faster. It is exciting to look back and note that Heidrick’s non-search business has gone from just $61 million in net revenue in the pre COVID year of 2019 to more than doubling $134 million in 2021. We think this deliberative approach to the diversification of our business model will prove valuable to shareholders. 2021 was an outstanding year for us achieving efficiency and productivity that showed up in the success of our firm's culture, as well as in our expanding market share, profitability metrics and margins. In addition to financial results, we also made important strides in ESG, publishing our first ever ESG report, providing an in-depth look into our sustainability efforts, while also outlining our firm commitment to offset our carbon impact. Heidrick is the first in our industry to issue such a report, and I hope you'll take a look at it online@ heidrick.com On our own human capital front, I'd like to note the appointment late last year of Tracy Heaton as Heidrick’s new Chief Legal Officer and Corporate Secretary. Tracy comes to us most recently from the leading global payments technology company and brings to the firm significant M&A, and international experience. In more news from our own C-suite. Earlier today, we announced the addition of Cecilia Nelson-Hurt, as our Chief Diversity Officer here at Heidrick, Cecilia joins us from a leading global beauty brand and brings her proven DE&I and strategy experience to further strengthen our firm's diversity and inclusion efforts and drive deeper employee engagement and community outreach. We continue to maintain a strong culture of developing terrific talent in house and promoting from within. I'm pleased to share that we recently named 23 exceptional individuals to partner and 29 to principal, making this one of the largest classes of principals promoted in recent years. These are incredibly talented colleagues, who already appreciate what it takes to run fast and deliver results. I cannot be more excited about the quality of the team at Heidrick. In closing, the results we released today show the impact of our deliberate, strategic focus on growth and diversification and the tremendous resiliency and professionalism of our team here at Heidrick, a maiden environment where demand for our services and offerings is strong. I'm proud of the amazing agility and exceptional capacity of our professionals. We ran hard in 2021 and we enter 2022 with a solid outlook to the future. At Heidrick, we're on our front foot moving forward. With that over to Mark.
Mark Harris: Thank you Krishnan. Good afternoon, everyone. Welcome to our year-end and fourth quarter earnings call today, one that's very special given our achievements. Krishnan spoke about the high level accomplishments, execution and vision. So allow me to overlay that with some financial context around the figures we reported today. Before going on to our financials, let me start by reinforcing several of the revenue drivers behind our $1 billion revenue achievement in 2021. First and foremost, our teams relentless focus on driving growth which cannot be understated. Second, how we coupled this with our increased cross collaboration and advances and value added products and services we deliver on for our clients. And third, how all of these tied to our investment in digital innovation. These are key factors that have led to our outsize productivity market share increases and record fourth quarter and year end 2021 results, which we hope to continue into and through ’22. Please have no doubt we still have many miles to go to the finish line of where we want to be. With that, I'll start this afternoon with a run through some of the key year end performance comments given the incredible year that Heidrick team delivered. Then roll on into our fourth quarter financial results, make comments on a few balance sheet items, share our Q1 outlook and finally close with some perspective on our shareholder value creation. Following that, we're happy to take your questions. To say our 2021 year end results are impressive just as not due to the performance justice in terms of the year that we had. The revenue contribution from all three of our verticals was record setting or near record setting, with incredible work being done by our teams. Revenue of just over $1 billion is a monumental achievement for Heidrick and we're all very proud to be a part of it. However, this is just not a normal revenue record setting year. Historically, pre- COVID, our revenue grew around 4% per annum on average for the last 20 years. And right before COVID our five year revenue growth was 8% per annum on average. 2021 however, is a special year where revenue increased 61% over the prior year. But to put this in perspective, given 2020 was recession year, when we compare 2021 to our previous record of 2018, we beat that by 40%. When looking at our year-over-year achievements, we noticed an executive search we saw confirmations increased by 45%, our upticks increase 43%, and our billings increase 52%. In Heidrick Consulting, we saw confirmation values increase 46%, average client value increase 14%, search referred work was up 48% and the value of Heidrick Consulting confirmations from search corporations were up 52%. Every measurement has demonstrated the incredible achievement our team delivered this year. But nothing shows us more than saying our adjusted EBITDA increased 89% and adjusted EBITDA margins expand 210 basis points in 2021 over the year before. As for our shareholders, we're very happy to share with you our annual adjusted diluted earnings per share of $4.11, nearly 40% ahead of our 2007 record of $2.97 per share. Congratulations to everyone on this call, whether you're an employee, client, shareholder or stakeholder, we thank you so much for your contributions and support in 2021, a pivotal year for Heidrick & Struggles. With that now let me turn to the quarter. Our net revenue reached $285.5 million, our fifth consecutive quarter of record growth, which was remarkable 77% higher than the previous year. Net revenue growth was driven by all regions and executive search, Heidrick Consulting and the successful integration of our On-Demand Talent, demonstrating that we're hitting on all cylinders. It's truly an exciting time in our growth cycle, which we see continuing into the near future as our guidance will provide. Let me give you some insights on the performance by turning to our three business segments. In Executive Search, net revenue was $243.4 million in the fourth quarter of 2021, 66% higher than the prior year. Looking at our search results in geographically all regions demonstrated growth. The Americas region was up by 75%. Europe was up 40% and Asia grew by 66% when compared to the prior year quarter. All industry practices showed growth year-over-year as well, combining for an increase in billings of over 50%. With all that regionally and industrial sector success, we put an astonishing $2.4 million productivity per consultant on the boards in 2021. As reminder, in 2019, just before the 2020 recession, we saw our year end productivity at $1.7 million per consultant. However, when looking ahead at what we expect to become the post COVID norm, we believe productivity will modulate between $1.8 million and $2 million per consultant when factoring in promotions we've recently announced, new hires and general expectations of sustainability, which will still be a substantial improvement from our pre-COVID levels of 2019. With regards to Heidrick Consulting, their fourth quarter net revenue rose $18.5 million, up 26% compared to the prior year. As Krishnan mentioned, consulting continues to benefit from collaboration within the company, while also bringing new business opportunities to Executive Search and our On-Demand Talent segment as well. Our greatest gains in the quarter were in the areas of team and board effectiveness, followed by culture shaping and leadership development and leadership assessment. It's gratifying to see our ongoing strength in Heidrick Consulting backlog numbers with year-end backlog up 27% since December 2020. We believe Heidrick Consulting’s momentum sets us up nicely for more success in 2022. Finally, with regards to On-Demand Talent, this business has exceeded expectations yet again with revenues of $23.6 million in the fourth quarter. This is more than 80% higher than last year when BTG was a standalone company. On a fiscal year basis we saw large account penetration increase more than 120% and project wins increase 45% with higher than normal average project size when compared to the previous year. Given the large total addressable market for Heidrick’s on-demand services coupled with results already achieved by this business segment, we believe we will see growth here for the foreseeable future. Now let me turn to the operating expenses. With record setting quarterly net revenue and higher volumes of work naturally this comes with higher compensation and other variable costs, which was expected and a positive when overlaid with the revenue performance. For example, we saw consolidated salaries and benefit expense of $204.1 million in the quarter more than 1.5x higher than the prior year to slightly lower as a percentage of net revenue at 71.5% in the fourth quarter of 2021 versus 75% for the same period last year. When looking at general and administrative expenses, we saw $46.9 million in the fourth quarter compared to $25.9 million in the prior year quarter. This increase in the fourth quarter of 2021 stemmed largely from the one-time adjustment of $11.4 million to the earnout payment due to the higher expectations resulted from our On-Demand Talent segment, which should be received positively. In short, the segment is outperforming our initial expectations, and we needed to increase the earnout amount accordingly. As a percentage of net revenue G&A expense was 12.4% for the quarter after backing up the earnout impact, which was a strong improvement over the 16.1% shown in the prior year quarter. Finally, we saw cost of services expense increased to $18 million in the fourth quarter, compared with $1.5 million in the previous year quarter, which was due to the acquisition of On-Demand Talent. As a reminder, this is where we expense the payments to consultants who perform project and interim work in On-Demand Talent. We're very pleased to report our adjusted operating income of $28 million in the fourth quarter of 2021, more than twice that of $12.8 million in the prior year. We like what we're seeing in our long-term trend of expanding margins when we look at our trailing 12-month consolidated adjusted operating margin, which is at an all-time high, except for last year's disruption due to COVID, since 2014, our margins have been building steadily over the last 31 quarters, expanding a full 790 basis points over that timeframe, an achievement we're very proud of at Heidrick. This is translated to adjusted EBITDA of $36.8 million and adjusted EBITDA margin of 12.9% in the fourth quarter of 2021, an increase of 70% when compared to adjusted EBITDA of $21.7 million, with adjusted EBITDA margin of 13.5% in the previous year's quarter. We finished the fourth quarter with an effective tax rate of 30.3%, leading to adjusted net income of $20.8 million, up 78.5% from the previous year quarter, and adjusted diluted earnings per share of $1.02, up from $0.59 to previous quarter, or an increase of 73%. On the balance sheet at December 31, we ended the quarter with cash and cash equivalents and marketable securities of $545.2 million, which is over $200 million more dollars than the same time last year. As we've discussed before the company's cash position typically build through the year as employee bonuses are accrued. Employee bonuses are paid out in the first quarter along with their associated tax and related costs. Our balance sheet coupled with our renewed and expanded Heidrick credit facility of $200 million shows we have the strength and flexibility to meet our future investment objective to pursue continued growth. We ended the year with nearly $750 million of liquidity, which again, was another record for Heidrick. Now let me turn to the first quarter 2022 guidance, given the continued strong Heidrick projected volumes and effective productivity we're seeing so far and with the macro tailwind still supporting our efforts in the marketplace, we believe our first quarter net revenue will be in the range of $270 million to $280 million, which would be a Heidrick record for the first quarter and set up solid momentum entering into the new year. However, I would be cautious to conclude that this level could sustain for the entire year as we anticipate some moderation in the second half of 2022 in executive search. But irrespective we still expect this to be a strong year for Heidrick & Struggles. Of course, we'll have more insights on these and other developments including any margin compression due to wage inflation, market trend shifts and investment initiatives in our next quarterly call in April. Please be reminded our guidance can be impacted by unforeseen inflation responses by central banks, global conflicts and other unforeseen events that this management team will continue to monitor those situations and ensure we're always plotting the best course through any challenge. With regards to evaluation, please keep in mind while our foundational businesses, namely Executive Search and Heidrick Consulting hydro consulting are valued on an adjusted EBITDA and adjusted EPS multiples the value of our On-Demand Talent business would be missed using those same metrics as that segment is in a high growth cycle with negative to low EBITDA and adjusted EPS. This is why our On-Demand Talent peers are valued on a revenue multiple at this point in their lifecycles. We believe that until On-Demand Talent market matures, the proper way to view our diversified strategy is the sum of the parts method as this would more accurately reflect the value of Heidrick hydric in the aggregate. In conclusion, as Krishnan and I noted at the outset, we're very pleased with our performance. We are successfully delivering against our diversified strategy and have shown tremendous year-over-year growth, which in turn is providing us with the flexibility needed to invest further in future value creation. We've been implementing our strategic initiatives across our core search and consulting businesses, while also expanding into growth areas through our On-Demand Talent acquisition. In addition while it's still early days in our partnership with EIGHTFOLD.AI, we are excited about the new digital capabilities that we are investing in, which we'll share more on later this year. And bringing all these initiatives together and driving a continuous virtuous cycle. We're creating a strong springboard for Heidrick’s continued success. With that, Krishnan and I would be happy to take your questions.
Operator:  Your first question comes from the line of Tobey Sommer with Truist Securities.
Tobey Sommer: Thank you. Like to start off, could you offer some color around your technology or digital enabled approach from two vantage points? First, how they may increase your total addressable markets? And second, how the cost of service delivery may become more efficient if that's one of the goals as well.
Krishnan Rajagopalan: Yes, Tobey, hi, this is Krishnan. So let me speak to that the digital platforms that we've got in place to conduct search, we are already seeing the impact of that on our productivity and our ability. So we kind of started putting that in 2017, 2018. And you've seen the productivity lists that we've seen as a result of that. So we continue to push on that. And so that is a very, very positive thing for us as well, where we will see the impact of the digital platforms, more on the addressable market is likely in the work that we're doing with E I G H T F O L D . A I, and the technology that we're working on with them on artificial intelligence, machine learning, and bringing different products to the table. That's where we're going to see a larger addressable market, beyond search for us on that. There's lots of other opportunities there as well, for the On-Demand Talent and others opportunities to continue to invest in technology to enable those platforms as well.
Tobey Sommer: How do we think about the long-term revenue margin and leverage profile of the company, anything you could share at this point would be helpful because investors in the space I think are looking at their record performance at the company and in many kind of adjacent businesses and stocks as well and trying to put that in the context about what things can look like in two or three years. Thanks.
Mark Harris: Sure, I'll try to take that one for you, Tobey. I mean, so let's talk about the three core businesses that we have today, right, we've talked about how in the executive search, we can break it down more granularly. But we would expect us to maintain kind of what we're seeing in the Americas region. So that's 25%, 26% margin basis. And in Europe, as again, we get scale, we would expect that to get up into mid-teens, as well as Asia Pacific, which we achieved, obviously, in 2021. So I think overall executive search will always maintain that, again, 20% plus or minus overall margin business. I think when we take a look, and again, you're asking about long term on the scale of Heidrick Consulting, what we would normally see in that type of a business model is that 10% to 12%, tight margin business as well, once we have scale into that, and we've obviously seen margin improvement between 2020 and 2021, we expect that trend to continue as we scale up in that business. On-Demand Talent, albeit still very much in the beginning part of their lifecycle. Margins will be compressed there for some time as they continue their growth or high growth and what they're able to achieve. And again, I would say a steady state, we've talked about that we would expect those margins to come in around that 8% to 10% threshold. So I still think strongly at least of what we have today, and what we're showing in the market that would still be able to put us in that 12% to 10%, 12% cadence, but on a much bigger pie. I think that's what's important doing it without significant leverage or equity infusion, which means that should be able to fall all the way down. And I think that's the one nice part about 2021 what it really demonstrated is as we can achieve bigger scale in the market was that allowing us to do so you really see it come through EPS quite nicely going from, again, the old peak of $2.97 to where we kind of finished up in at the $4.11 mark. So that's how we would see it and of course, as Krishnan talked about the new businesses, when those kind of come online, I can give you better insights. But I think that's what really trying to drive is constant, less cyclical changes in our margin profile on the up and downs in the markets, and create that nice diversified book of businesses in terms of how we want to really run the human capital side of it
Tobey Sommer: Okay, two more for me, and I'll get back in the queue. What are your thoughts around where consultant productivity settles in and when that settling occurs? I know over the last four, six quarters, you've kind of given a marker, but you've kind of that measure has inched higher. So I was wondering if you have any changes there. And secondly, if you could give us a sense for what net spendable cash looks like, once you pay out bonuses. Thanks.
Krishnan Rajagopalan: Yes. Mark, let me start off with the productivity. Why don’t you add to that, and then you can finish up on this as well. Look, we see productivity inching up from our historic levels, I mean, you got to remember, if we go back to 2017, we're probably about 1.5. We think that we're going to continue to hire from within, and we're going to continue to expand, we think somewhere between 1.8 and 2.0, is where our productivity will move towards over time, over a much larger base. And we continue to drive that with technology, we can continue to drive that with leverage, and where we hire and how we support teams, you'll see that we haven't added significant consultants to be able to drive a new level of revenue as well. So that's kind of where we see the number going. I mean, I think with the additional technology infusion, we may be able to get to something higher. But until we kind of see that we're predicting between 1.8 and 2.0.
Mark Harris: And Tobey, to answer your second question I did put in a slide for you this time. So on slide 26, on the investor deck, you'll see our total cash via bonus payments going out of $383.1. And then we've got business operations, working capital and other currency constraints, if you will. As sometimes it's hard to move cash around from different jurisdictions. So we finished with discretionary cash about $97.1 million after those payments.
Operator: Your next question comes from the line of Kevin Steinke with Barrington Research.
Kevin Steinke: Hey, good afternoon. You highlighted your collaboration efforts and how that's helping to drive revenue, collaborating across segments. I mean, do you have incentives in place to drive that? Or what's the structure you kind of have to try to make that collaboration happen?
Krishnan Rajagopalan: Yes. Kevin, good to hear from you as well. We've got an incentive plans in place to drive that collaboration between the various businesses. So it's rather clear as to how that operates. Each of the consultants is where we, we also do a lot of joint planning on our accounts. Okay, so between the two, we know where we want to target and how we want to operate. So it's seamless, we've sort of simplified our incentive system for collaboration to make it easier for the field as well. And we're seeing the benefits of that in the last 12-months.
Kevin Steinke: Okay, and you mentioned a lot of change happening at the top of organizations in 2021. I mean, how do you view that pace of change going forward? I mean, is it less sustainable in 2022? And if so, is that kind of why we're thinking about maybe a bit of a moderation in search in the second half as Mark referenced?
Krishnan Rajagopalan: Yes, that’s a fair question. Yes. So look, we have just seen so much. If I look backwards in 2021, the frenzy in the market, the level of change has been terrific, amazing. It continues right now is what I would say. That's why our first quarter guidance is where it's at. But look, having been in the industry for a while and having seen all this, we're running 100 miles an hour right now. And I fully expect that even when we talk about moderation, and I look out, it's going to be 90-95 miles per hour. It isn't our proverbial slogans that we've seen before. There's a lot of momentum. There's lots of themes that are out there still DE&I, there's still digital transformation, and sustainability is only beginning really to have an impact. So there are many, many things in new businesses, private equity is still rather flush. So there's lots of things that will continue to drive this. But as with any of these cycles once you hire, you have to digest and you have to take the time. And that's where the other service offerings that we've got really come in play for us, as well to be able to continue those relationships and work with those clients.
Kevin Steinke: Okay, great. And yes, when we talk about both the On-Demand Talent segment and Heidrick Consulting, you talked about your goals there to scale those businesses up and some target margin ranges. Can you talk about the opportunities and challenges in both of those businesses to driving greater scale? And when we think about these margin targets are we thinking kind of like a three to five year timeframe? Or how do you think about it kind of in your strategic roadmap?
Krishnan Rajagopalan: Yes, so let me take some of that, and then Mark can come back with at least some additional thoughts on margin. So look, the challenges, I think to growing personally, is looking at on-demand for a second. But there's a great market, we've got a great brand, we've got a preeminent position. So we've got something, obviously to build on. There are opportunities to build internationally, this as well. So those will have to be looked at very, very carefully to make sure that they're the right fit. How do we want to grow into those segments? Can we do that organically or inorganically, so those will be conversations that we're having every single day regarding that. But I think there's again, massive opportunity over there for us to continue to push the lever, Our Heidrick Consulting, at some level, it will come to focus, it will come to talent, and continue to onboard talent and partners, and developing partners as well, who can help us there some focus areas, we think that we're really working well on culture, future ready leaders, DE&I sort of doubling down on each of those and being able to drive that, but that'll be a talent opportunity for us over there. Mark, do you want to talk to the margins side a little bit?
Mark Harris: Sure. So like our Heidrick Consulting side of it, Kevin, as we were on a really good trajectory, and then COVID, kind of set us back a little bit, which actually wasn't all terrible, there was about a 7% drop in the revenue. And we gain that back plus some and I think the team's just done a terrific job, a heroic job, excuse me, of really building that revenue side of it. We always talked about the breakeven margin for Heidrick Consulting being around that $80 million, $85 million platform, and then we start to see the incremental scale come in. I'm always hard to speak to in terms of where that revenue can take itself off to. But our view is, again, it's always difficult on timing, because it's going to be a function of the market being there, in that 110 - 120 type million categories is where I think we'd really see some good margins, strong margins come through, and really starting to get scale into the platform, with that would be able to demonstrate it. On-Demand Talent is a different pivot. It's in a high growth cycle, the addressable market is continuing to grow quite nicely, Krishnan made some real interesting references about people coming out of school and how they're going into that side of the equation versus the old school of the full time equivalent side of it. I want to really watch those trends. And the team is executing flawlessly. And you see that come through the number. So that side of it again, I think right now we're just what I would qualify as in the reinvestment side of it, every dollar we're making, we're putting back into the business, and rewarding the team and making sure that they continue to grow with the market opportunity, I think when that plateaus out, we'll see where we're at. But that one, again, can be a $200 million plus type of business for us, especially when we think about it potentially, with the contagion of Europe and Asia Pacific, and everybody else moving to this type of platform, those numbers can go up quite significantly, which is really what excites us, and then we'll see where that kind of comes out. But that's really where you really start to see those margins I would imagine is when the investment kind of starts to slow itself down. And again, we've got public companies that are in very similar adjacent types of the market like upwards and fiber, doing the exact same thing taking every dollar reinvesting into the business because everybody's seeing this great growth opportunity. And certainly, I would say COVID has changed that to be a real part of where we kind of see the human capital going. So it's really good and we're a part of it. We're excited by what it has in front of us.
Kevin Steinke: Okay, great. How are you thinking about or managing through compensation inflation in your business as you view that as a meaningful challenge going forward? And is the ability to develop and promote people internally kind of a way to offset that or just any thoughts on how you see inflation on the compensation side affecting your business going forward?
Krishnan Rajagopalan: Yes, so look, clearly, there is a war for talent that occurs in great businesses like ours as well. So we benchmark our compensation. We built in some nice increases this year, we believe we pay very competitively. And we're creating new opportunities, on compensation as well as career opportunities for people, including some of this collaboration, including closure bonuses, all kinds of different mechanisms we've got in place, which we think allow us to compensate people very fairly, as well as near the top of the heap. So we continue to look at every single thing over there. So I don't rest easy thinking we've got all the answers. But I think we've got lots of things that we are definitely looking at. And I think we've got tremendous career opportunity to offer people as well. I talked about our promotion classes, and what we just did. So there's wonderful career opportunities here at Heidrick. We've got multiple platforms now that we got, as well. So it's a perfect place to be a leadership advisor. And we hope that our teams will run towards that as well.
Kevin Steinke: All right, and just lastly, I want to ask about upticks, I think you mentioned up 43% in 2021. And I assume that's something that maybe starts to normalize, maybe compensation levels get set higher initially of course, I guess that's beneficial to you as well. But just is that kind of an extraordinary number that you think would moderate, I suppose, or how you thinking about how that kind of flows through for you going forward?
Krishnan Rajagopalan: So, I think in terms of a historical achievement, yes, it was definitely a higher number, I think that's kind of a little bit more reflective, in a couple different aspects, right. Number one is the mix. And that's typically what we saw much stronger on the American side of it than we saw in the Europe and Asia Pacific side of it, we saw in terms of the value, probably more stemming from, you go in with an original assumption of what it's going to cost to fill the role. And then what you're seeing, especially in a market like this, Kevin, which I'm sure you can imagine, a lot of people bidding for that same talent driving up price, and then the realization of what it's going to cost to actually kind of get that person on board is higher. And that's really, we see the uptick comment. So I think everybody starts and again, just using fictitious math $100, that's where we thought we can get the person on board. Turns out, it's $150, we have a $50 uptick to work through. So it's probably more of a function of the market and the fact that supply and demand clearly are not at equilibrium. And we're saying even though the supply is out there on the demand, obviously, is coming in very, very strong. And I think that's where we're just saw it in 2021. I would expect that to normalize a bit that was kind of embedded in the guidance number that I gave, as well as the outlook, I kind of gave up saying, look, I would expect this, especially in executive search, to moderate a bit, that does not mean it's still not going to be a heck of a year for us that will be. And it just don't take the quarter guidance that I gave and multiply it by four. Yes, I think that would be wild. I would always hope for that. But I suspect it's going to modulate a bit on that. So we'll see. But I think that's really what that uptick was about, as you know, especially when give our guidance numbers, uptick is the one variable and is just -- it's a crazy curveball trying to hit because it's just really difficult to predict because you really don't know until the client pulled the trigger and makes the decision to either step up and try to get the person or to relook at the work that we're doing to see if there's another way to make it within what they had as a quantifiable budget.
Operator: You have a follow up question from the line of Tobey Sommer with Truist Securities.
Tobey Sommer: Thank you. Just a few more. What are you thinking that the impact is either on your addressable market or average fee per search of being able to recruit executives from different geographies, given remote work and that acceptance? How does it impact the market in your company financially?
Krishnan Rajagopalan: Yes, I think that phenomena actually does a couple things but I don't know about if it increases the market, it increases the availability of talent, number one, it might increase the speed, which we can execute searches on. So I think those are the dimensions that it helps him. I think it helps our On-Demand Talent business, by the way. Okay, in particular where people are excited to be able to access talent outside of their geographies, even their regions. So I think it helps that business as well.
Tobey Sommer: In your -- what you've seen so far, have you been able to discern if it's more secondary markets recruiting talent from the larger cities that are typically maybe have deeper pools of talent and higher prices? Or is it the sort of other way around large markets recruiting talent from medium and smaller sized cities? Because I can give us a sense for average fee impact.
Krishnan Rajagopalan: Yes, I don't think it's sort of like that. I don't think people think about it that way. And where we operate, I just think they think about it as, wherever the talent may have migrated to at this stage. Okay. So I'm not sure I can draw the conclusion on the average fee per search, I think the compensation that they're going to offer that individual is going to be highly competitive for the companies that we work with. So no matter where they come from, they're going to be paying them that kind of money.
Tobey Sommer: Okay. Do you have a sense for retirement as a driver in the business in the executive search side specifically?
Krishnan Rajagopalan: Yes, look, we definitely saw that occurring more in 2021 than we did in 2020. People in 2020, as a pandemic started, who were getting ready to retire, wanted to stay with their teams. And I think 2021, though we still felt COVID overall, there was a bit more stabilization. So there clearly was some retirements that occurred at that time period, and I think they will continue to be retirements that will occur, some of it now driven by how we work and how comfortable people are to be working in those work environments of being virtual and trying to lead teams that way or not. And I think the future of our work will drive a small wave of retirements as well, as people elect to say, okay, I don't want to lead that way. And maybe I'm not suited to lead that way as well. And so you'll continue to see at the same levels we have.
Tobey Sommer: Thanks and just last one is kind of a small detail question. So I think it's a pretty immaterial exposure. But could you quantify the company's exposure to the markets that are sort of recently in the news and under sanctions.
Krishnan Rajagopalan: And Russia business as you rightly spot on, Tobey, Russia's about a $1.5 million revenue business for us. So it's not very material, we don't have Ukraine operations. And we don't have Belarus, et cetera. We do have Poland operations, and our Poland team has been doing just a magnificent job hopping out over there. In terms of what's going on, we're getting a lot of reports from our team members, in all sides of it just giving us updates. And it's being led by an extraordinary person that we have also in Italy, that's in charge of our growth markets side of the business. So overall, we don't expect really any impact on our financials, the material impacts on our financials, we've made sure that we've got all of our treasuries buttoned up and situated for long stay at this and the team is really all leaning in on it. So overall, it's I guess, though, nice way to say it, is going as well as one can be expected in a difficult situation.
Operator: Ladies and gentlemen, that does conclude tonight's Q&A session. And I'll hand it back to Mr. Rajagopalan for closing remarks.
Krishnan Rajagopalan: Thank you for joining our call today. So clearly, the results that we announced today were outstanding, and we're working hard to continue to do deliver value to h Heidrick clients, growth to Heidrick shareholders and our employees and all within the framework of the strategic vision that we've got outlined. We look forward to updating you again in the next quarter and look forward to catching up. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.